Operator: Good day and welcome to the Innospec Q4 2012 Results Conference Call. For your information, today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. David Williams. Pleased go ahead, sir.
David Williams: Thank you, and good day, everyone. My name is David Williams, and I’m Vice President, General Counsel and Chief Compliance Officer at Innospec, Inc. Thank you for joining our fourth quarter and year-end 2012 financial results conference call. Today’s call is being recorded. As you know, late yesterday, we reported our financial results for the quarter ended December 31, 2012. The press release is posted on the company’s website at www.innospecinc.com. An audio webcast of the call and the slide presentation on the results are also now available and will be archived on the website. Before we start, I would like to remind everyone that certain comments made during this call might be characterized as forward-looking statements under the Private Securities Litigation Reform Act of 1995. Generally speaking, any comments regarding management’s beliefs, expectations, targets or other predictions of the future are forward-looking statements. These statements involve a number of risks and uncertainties that could cause actual results to differ materially from the anticipated results implied by those forward-looking statements. These risks and uncertainties are detailed in Innospec’s most recent 10-K report as well as other filings we have with the SEC. We refer you to the SEC’s website or our site for these and other documents. In our discussions today, we have also included some non-GAAP financial measures. A reconciliation to the most directly comparable GAAP financial measures is contained in our earnings release and in the presentation that follows, a copy of which is available on the Innospec website. With us today from Innospec are Patrick Williams, President and Chief Executive Officer; and Ian Cleminson, Executive Vice President and Chief Financial Officer. And with that, I will turn it over to you, Patrick.
Patrick Williams: Thank you, David, and welcome everyone to Innospec’s fourth quarter and year end 2012 conference call. Overall, we had a very good fourth quarter, particularly in our core businesses where we closed the year in very solid position poised for continued growth in 2013 and beyond. Our Fuel Specialties segment performed especially well in the quarter given the very mild start to the winter season in all regions. Fuel Specialties delivered record sales revenue driven by strong performances in EMEA and the Americas and we had created good momentum going into 2013. Principally due to the richer sales mix, Fuel Specialties gross margin improved 1.1 percentage points to 31.3% for the quarter allowing for a full-year gross margin above our 30% target. Market demand in the Oilfield Specialties sector remained reasonably strong during the fourth quarter, creating a stable base for our continued build out of this business. Late in the fourth quarter, we closed on an acquisition of Strata Control Services Inc. an important step in growing Oilfield Specialties and we’ll continue a controlled pursuit of other attractive acquisitions in this market. Recognizing the importance of opportunities in the oil and gas and fuel sectors. We added Lawrence Padfield to our Board of Directors during the quarter. Larry has more than 30 years of oil and gas experience and will lend important experience and perspectives as we pursue business development in these areas. Performance Chemicals showed continued good growth during the quarter and Personal Care, Fragrance Ingredients and Polymers driven by higher volumes across all markets and importantly, strong margin improvements. We are pleased with our performance and strategy in Performance Chemicals and we remain optimistic about our sales prospects despite sluggish underlying growth in the industry as a whole. Our Octane Additives business had a strong quarter as we predicted including the completion of a large order held over from the third quarter as we indicated in our Q3 results. In line with our policy of full compliance, we booked a remediation charge in the quarter to bring our environmental liabilities in line with the latest ways of disposal requirements which softened our margin in this business. As you know, the TEL market is a sunset industry and we have been deeply involved to phase out of TEL from motor gasoline usage and the conversion to unleaded gasoline for a number of years now. We will continue to work responsibly with the few remaining TEL countries, helping in orderly transition to unleaded gasoline without undue disruption to transport and economic growth. I will now turn the call over to Ian Cleminson who’ll review our detailed results and the return for some comments about our business and strategies going forward. Then we will you’re your questions.
Ian Cleminson: Thanks, Patrick. Turning to slide six in the presentation, the company’s total revenues for the fourth quarter were $213.7 million, a 7% increase from a year ago. The overall gross margin rose by 1.6 percentage points from last year to 30.4% driven by record sales within Fuel Specialties and higher volumes across all Performance Chemicals markets. Our GAAP earnings per share was $0.53. On an adjusted basis, our earnings per diluted share were $0.89 in line with our expectations. EBITDA for the quarter was $30.5 million, a 24% increase from the $24.5 million reported a year ago. Net income for the quarter was $12.7 million and after adjustments of special items in both this year and last, it was down $1.2 million from 2011’s fourth quarter. Moving on to slide 7, revenues in Fuel Specialties for the fourth quarter were a record $155 million, up 7% from the year ago period. A richer mix of sales and improved pricing of 9% were offset by flat volumes and an unfavorable currency impact of 2% due to a weaker euro. By region, revenues increased 10% in the Americas and 9% in EMEA but fell by 4% in Asia Pacific due to the reduced volumes. The Avtel business performed to plan in the quarter. Margins in this segment increased to 31.3% returning above the 30% target resulting in a full-year gross margin of 30.1%. Gross profit was $48.5 million and operating income was $29.4 million, an 8% increase from a year ago. For the full-year, the segment sales were at 1% to $527.3 million and operating income increased 7% to $87.6 million. Turning to slide 8, revenues in Performance Chemicals for the fourth quarter increased 9% from last year to $41.4 million. Volumes increased by 14% with strong performances across all markets but were offset by 3% lower pricing sales mix, and 2% due to unfavorable currency impact. By region, revenues increased by 19% in the Americas, primarily due to strong volume growth in the Personal Care and Fragrance Ingredients markets and by 4% in EMEA, the sales decreased 3% in Asia Pacific. Gross margins improved across the board to 24.6%, due primarily to better manufacturing efficiencies on the back of higher volumes, which combined with sales growth resulted an increased gross profit for the quarter to $10.2 million. Performance Chemicals operating income for the quarter was $5.5 million, up significantly from the $0.9 million reported in last year’s fourth quarter. Sales for the full-year increased 1% to $179.6 million. The segment’s full-year operating income of $24.3 million was 8% higher than the $22.6 million reported in 2011. Moving on to slide nine, net sales in Octane Additives for the quarter were $17.3 million, compared with $17.9 million a year ago. The segment’s gross margin was 36.4%, down from the 47.5% last year primarily due to customer mix, was also due to the cost of booking the remediation charge. Gross profit was $6.3 million in the quarter. The segment’s operating income for the quarter was $4.1 million, compared to $5.4 million last year. For the full-year, the segment reported sales of $69.6 million, a 9% decrease from 2011. Its operating income was $26 million, compared to an operating loss of $22.4 million in 2011, which included a $45 million pre-tax charge related to the civil complaint settlements and $5.5 million in associated legal and professional expenses. For 2013, we expect to see further declines in the Octane Additives revenues as we continue to responsibly transition the remaining countries to unleaded gasoline. We’ll update you each quarter on how we see this business is growing. Turning to slide 10, corporate costs for the quarter were $13 million compared with $8.9 million a year ago. The increase is primarily due to $2.5 million in acquisition-related costs and our continuing drive for enhancing our compliance. Full-year tax charge of $26.9 million or 28% was driven higher than our Q3 forecasted charge of $18 million or 19%, primarily due to an internal dividend to fund acquisitions this added $7 million to the charge, the majority of which is non-cash in nature. In 2013, we expect our pension charge to be $0.7 million per quarter while our cost contributions will remain relatively unchanged between $2.5 million to $3 million in the quarter. Moving on to slide 11, despite the $26.5 million increase in working capital to fund the strong business performance, cash flow from operations remained positive in the fourth quarter, as we generated $2.3 million in operating cash flow. In the fourth quarter, Innospec issued a special dividend of $46.7 million, at $2.00 per share and paid $53.1 million in relation to the acquisition of Strata Control. At the year-end, we have $27.5 million of cash and cash equivalents on hand. And now I’ll turn it back over to Patrick for some concluding comments.
Patrick Williams: Thanks, Ian. In summary, we’re pleased with our performance for the year, and particularly with the fourth quarter, finishing the year strong with positive momentum. Operating results improved year-over-year in our core businesses. Most importantly, we delivered on our expectations, and did what we set out to do, obtaining or exceeding our gross margin targets in our core businesses, concluding an important acquisition in the build-out of our Oilfield Specialties business which we expect to be accretive to earnings this year, enhancing shareholder return with a special dividend of $2.00 per share, and continuing to deliver on organic growth and customer expansion in our core business units. Our business model and management are reasonably robust to difficult economic conditions as we’ve shown. Our core businesses are cash generative which is why we’re able to finish the fourth quarter broadly cash neutral after outflows of nearly $100 million from the Strata acquisition and our special dividend. Innospec remains in a strong liquid financial position as we move into 2013. We positively look to the future cautiously optimistic with our markets worldwide and we’ll continue to focus on maintaining our competitive edge which for us means continuing our investment in R&D in order to develop the new technology which is vital to growth for us and our customers. Two, providing the highest possible levels of customer service, delivering cost effective products in an efficient and timely manner. And three, recruiting to augment our team of experienced and skilled people who are knowledgeable in our customers’ applications. We’ll maintain an active acquisition policy supporting our strategic objectives. For the immediate term, we’ll concentrate on smaller acquisition opportunities as we currently find more value in this approach. While we’ll never completely rule out consideration of a larger deal, any opportunity would need – compelling to our company and our shareholders. Meantime, we’ll revisit our policy on buybacks and dividends. In Octane Additives, despite very limited information from the three remaining countries, we continue to work as best as we can to participate in a responsible transition to unleaded gasoline. Finally, we are pleased the market has responded well to our performance throughout the year. We’ve shown our shareholder base – grown our shareholder base and attracted additional research following and more recently seen a significant upwards improvement in our share price. Early in Q1, we met with a large number of institutional investors with positive feedback on our strategy. We look forward to continuing active dialog with current and potential investors while continue to be open and transparent regarding our strategy and our actions. Once again, we appreciate your interest and support, our strong relationships with customers and the efforts of all of our Innospec employees around the world. And we look forward with confidence to the opportunities ahead. Now I’ll return the call over to the operator and Ian and I will take any of your questions.
Operator: Thank you. (Operator Instructions) We’ll now take our first question from Jon Tanwanteng from CJS Securities. Please go ahead. Your line is open.
Jon Tanwanteng – CJS Securities: Hey guys, how are you doing? Nice quarter.
Patrick Williams: Thanks, Jon.
Ian Cleminson: Thanks, Jon.
Jon Tanwanteng – CJS Securities: Can you guys talk about Strata a little bit, they had a $20 million run rate in 2012 according to your press release. What can that business look like in 2013 with the added benefit of your global resources and sales network?
Patrick Williams: Yes, a good question, Jon, I think that the whole reason for looking at smaller acquisitions that are somewhat regionally based is that we can expand those in a fairly relative quick time into our global network. I think looking at Strata and with the importance of our global strategy, we feel like we could probably get a low double digit growth in that in 2013. Understand it’s going to take us probably a quarter to get that business established, get it out to the global arms, get it out to our global market. But I think you could look at low double digit growth in 2013 and maintain that throughout.
Jon Tanwanteng – CJS Securities: Got it. Thanks. And then maybe a little bit more on the acquisition pipeline, how does that look to you right now and then given your cash position, do you need to draw down your revolver or lever up to pursue additional transactions?
Patrick Williams: Yes. If you look at the pipeline, we kept the pipeline going during the TPC deal, and I think that that was the benefit of being able closed Strata in 2012. We still have the remaining – some businesses that we’re looking at that we have been in negotiations with. That again stick to our smaller strategy of acquisitions. I think you’re looking to add one more hopefully in the oil field sector and then moving ourselves over to the same strategy for Personal Care and our Performance Chemicals side. In regards to how we leverage, we’ve obviously told you guys from day one we like to stay below three on a leverage point. Do we pay the next one in cash that remains to be seen? Leveraging and looking at borrowing cash at this point is very cheap on a borrowing capacity standpoint. So we’ll look at all of our options.
Jon Tanwanteng – CJS Securities: Got it. And can you remind me what’s left in your revolver right now?
Ian Cleminson: We’ve got about $70 million left on the revolver, Jon.
Jon Tanwanteng – CJS Securities: Got it. And then finally, you mentioned Octane transitioning, is that any different from the commentary you’ve had in prior quarters, I don’t recall specifically that you’re working a transition to nonleaded gasoline?
Ian Cleminson: Jon, there’s no real difference there. I think we just saw now a little bit more clearly for people, and just remind them, there is a transition plan that the countries have and we will follow that plan and we’ll work with these countries to responsibly – to execute that plan with them.
Jon Tanwanteng – CJS Securities: Great, thank you very much guys.
Operator: We’ll now take our next question from Ivan Marcuse from KeyBanc. Please go ahead. Your line is now open.
Ivan Marcuse – KeyBanc: Right, thanks for taking my question. Real quick, in the Fuel Specialties business, you’re one of the few companies that have seen growth in kind of year-over-year basis in sales in Europe. So, I suspect that points to the resilience of your business, but also you’re seeing a uptick in mix and price. So, do you think your 30% type of gross margin target could be exceeded in 2013 with the addition of Strata and would you expect to slow uptick within improving mix?
Patrick Williams: Yes. The way I’d look at it Ivan is I think we still should maintain that 30% margin, I think for modeling purposes that fits well for our thoughts moving forward into the first quarter and the second quarter. We will as have always keep the investment community and yourselves informed if we start to see margin uptick in that business or any other businesses that we have. Somewhat 2013 is an unknown market. We’re still feeling positively about both of our core businesses moving forward. And I think that the first quarter, maybe the first three to four months will let us know kind of where we see going through remainder of the year.
Ivan Marcuse – KeyBanc: Okay. And then, if you stick with fuel specialties, what’s your best guess and where do you think you could see oil fields business in the next two to three years with – now that you finally have a I guess a foothold with this new acquisition? Where do you think this business could get you in terms of Innospec and your capabilities at this point?
Patrick Williams: Yes. If you look at the acquisitions in the current business that we have internally from organic growth, we see potentially going into 2014 just north of $100 million revenue business with extremely good gross profit margins. And I think at that point in time it gives us the girth really to really expand that business quicker than we are today. It’s just about everything. You’ve got to get momentum. We’ve got to have the right personnel in place. The technology trees in place to take the growth to the double-digit, high double-digits that we’re hoping to expect in the future. But right now, I think the outlook for our company and is a view that we want to be north of $100 million by the end of this year with an extremely strong gross margin and really with the business to move forward at a faster rate going to 2014 and 2015.
Ivan Marcuse – KeyBanc: Okay. And then on Strata, you pointed out $2 million in acquisition costs, is that all Strata or is that also included any cost associated with TPC?
Ian Cleminson: That also includes the TPC deal as well.
Ivan Marcuse – KeyBanc: Great. And then what’s sort of your expectation for tax rate next year?
Ian Cleminson: We expect it to be a little bit lower than the 2012 full-year rates. We think something in the region of 20% to 23% is achievable.
Ivan Marcuse – KeyBanc: And on your balance sheet, I saw an uptick and/or actually a pretty big uptick in your pension liability, is that associated with Strata and will that require any funding over the next year or two?
Ian Cleminson: No, looking through Strata, it’s our UK plant and the funding – the cash funding as we highlighted earlier in the call will remain around $10 million to $11 million per year, slightly higher than it was in 2012. It was certainly manageable and we expect that to be a steady state throughout the next three years.
Ivan Marcuse – KeyBanc: All right, and then sorry, last question and I will get back into queue. I know it’s probably impossible to project, but what’s sort of your expectation for the Octane business in 2013 in terms of sales and gross margin?
Ian Cleminson: I think our view right now Ivan is we’re going to see another year of a downward momentum in sales revenue and sales volume. And as I said earlier on the call, we’re going to keep you guys apprised each quarter how we see that. Right now, we’ve not got the best visibility for the full-year, but our expectation is certainly a downward trajectory.
Ivan Marcuse – KeyBanc: Okay. Thanks.
Ian Cleminson: Welcome.
Operator: We’ll now take our next question from Chris Shaw from Monness, Crespi. Please go ahead. Your line is open.
Chris Shaw – Monness Crespi: Hey, good morning guys. How you’re doing?
Ian Cleminson: Good morning, Chris.
Patrick Williams: Good morning, Chris.
Chris Shaw – Monness Crespi: Fuel Specialties, obviously a very good quarter there, I just want to figure out sales I think they were 7% in Q3 and then up 7% in Q4. Was there any – did sales get pushed back into Q4? I mean you reported really strong sales both, I guess, in the US and in Europe, Middle East. I just – I wouldn’t have, I guess, guessed that going into the quarter, what happened last quarter. I’m just trying to figure out, what exactly the trends are there, should we be looking at it on a, sort of a full-year basis or a half-year basis, I mean is there a good way to track there, maybe is there anything that correlates to the refinery utilization or miles driven? Quarter-to-quarter, I’m having a little hard time figuring out what goes on in that business?
Patrick Williams: Yes, no problem, Chris. Part of it was an order pattern. I think part of it was as well, if you recall, in the two previous quarters, we said we had some new business closures that we’re going to be taken in into Q4 and into first part of 2013 that was part of it as well.
Chris Shaw – Monness Crespi: Okay.
Patrick Williams: So, that’s why you saw the uptick. You have seen diesel actually is probably one of the markets that has been fairly steady, if not a small uptick compared to gasoline, but it’s more from pattern and as well as new business closures.
Chris Shaw – Monness Crespi: Okay. That made some sense. All right, thanks. Then, on Strata, if you paid $50 some odd million for it and given what the multiple you paid, so last year’s EBITDA was probably $9 million to $10 million, is that right
Ian Cleminson: A little bit north of that, Chris, and you’re probably trying to do the math and there is some deferred consideration yet to go. I think once we filed our 10-K, have a look in some of the detail in that and that should help you understand the deal a little bit more.
Chris Shaw – Monness Crespi: Okay, great. And then so if you – I know you’ve maybe hinted in the past that you pull out the Oilfield Chemical business from Fuel Specialties into a separate segment, would Fuel Specialties still have 30% gross margins, do you think?
Patrick Williams: Yes, they would.
Chris Shaw – Monness Crespi: Okay. Cool. That’s all I had, thanks.
Patrick Williams: Thanks, Chris.
Ian Cleminson: Welcome.
Operator: We’ll now take our next question from Christopher Butler from Sidoti & Company. Please go ahead. Your line is open.
Chris Butler – Sidoti & Company: Hi, good morning guys.
Patrick Williams: Good morning, Chris.
Ian Cleminson: Good morning, Chris.
Chris Butler – Sidoti & Company: Just staying on Strata for just a second, the margins in this business are fairly substantial. Could you talk to the sustainability of those over time?
Ian Cleminson: Yes, Chris. I mean the oilfield is a very profitable business both at the gross margin level and the EBITDA return. We see no reason why we can’t maintain those margins and we hope as we expand our knowledge base and our customer base that we’ll be able to see some expansion across all of our profit range.
Chris Butler – Sidoti & Company: And looking at Fuel Specialties business, you talked about some of the new business that closed here in the quarter. If we’re looking at the December quarter normally, you see gross margin improvement because of increased heating fuel with the mild winter, is the new business making up that gap and doesn’t that give us a very bullish look as we look to next year?
Patrick Williams: Yes. I think what was helpful, Chris, is we did have the late surge of cold weather, some in Europe and a lot of it in the Americas and that helped out quite a bit. But another portion of that as you did say is a little bit of catch up from the new business that we closed in the prior quarters.
Chris Butler – Sidoti & Company: And could you talk to the weakness that you saw in Asia?
Patrick Williams: We say – we’ve analyzed Asia quite significantly and we think most of it’s just to our pattern
Chris Butler – Sidoti & Company: And then on the Personal Care side as well?
Patrick Williams: Yes. Personal Care side as well.
Chris Butler – Sidoti & Company: That’s all I have. I appreciate your time.
Patrick Williams: Thank you.
Ian Cleminson: Thanks, Chris.
Operator: We’ll now take our next question from Paul (inaudible). Please go ahead, your line is open.
Unidentified Analyst: Thank you. Could you tell us what portion of the lead tetraethyl business that remains is in the – from the aviation industry?
Patrick Williams: Yes. Paul, we actually don’t disclose that, that’s fixing part of our Fuel Specialties business. But what I can tell you is it’s a pretty stable business both in terms of volume and revenues, but it’s only a small part what we do in the Fuel Specialties area.
Unidentified Analyst: Thanks.
Patrick Williams: Thank you.
Operator: (Operator Instructions) We’ll now take our next question from Gregg Hillman from First Wilshire Securities. Please go ahead, your line is open.
Gregg Hillman – First Wilshire Securities: Yes. Good morning. Hi, Patrick, could you talk about – remember what ethanol in the engines. I understand it’s creating some problems with excessive water and I was wondering whether you can do something to remediate that or without that any way?
Patrick Williams: Yes. Good mooring, Greg.
Gregg Hillman – First Wilshire Securities: Good morning...
Patrick Williams: For a long standard period of time, our product which is the DCI corrosion inhibitor has really been the root force behind ethanol and the fuels, and it remains that way. I think if all the ethanol that’s actually treated with the corrosion inhibitor, we probably got 85% of the market. You are right, there is more advent of water in fuels and we are getting – potentially seeing an uptick of business in that ethanol market. So it is a business that we follow very closely obviously. It’s dear to our heart and it’s a very good product for our company. So it’s similar to what things have not changed in the way we approach the ethanol market.
Gregg Hillman – First Wilshire Securities: Okay. So it’s material to your company right today.
Patrick Williams: Yes.
Gregg Hillman – First Wilshire Securities: Okay. And then the other thing I wanted to ask you about diesel, I’ve been reading that more diesel cars are coming in to the United States. Is that your take and do you think that could move the needle anytime soon for spec?
Patrick Williams: Yes. There was a lot of talk early on 5, 10 years ago about dieselization of America. I’m not sure we’re going to see it to the magnitude that was predicted. But yes, we are seeing more passenger vehicles move to the US with the new general styled engines that we prefer, when you talk about HPFI, but will it move the needle? I don’t think to the magnitude that you’re talking about or thinking about it in regard to dieselization of America.
Gregg Hillman – First Wilshire Securities: Okay. And just an aside, are the diesel cars more economical for the consumer versus like a gas – natural gas powered engine?
Patrick Williams: Yes. A little bit compared to natural gas engine absolutely. And if you look at the longevity of the diesel engines and the fuel mileage of the diesel engines, it’s very difficult to beat.
Gregg Hillman – First Wilshire Securities: Okay. And then, Pat, can you just talk about the regulatory front around the world. I am sure you must watch it closely whether you anticipate any actions in the United States, Europe or elsewhere that might affect you for example in China with all the small program they’re having. Is China going to do something, would that affect you or just anywhere for that matter?
Patrick Williams: Yes. I mean, I think as we always state that regulatory is our friend in Fuel Specialties business. And we follow the same things that you guys see in the press, probably even a little closer, being that we have hands on the ground in those specific markets. IT’s just like India, it’s just like China, it’s a lot of countries who want to go to some Euro standard or US standard, but yet the government has not pushed the issue. I think it’s – if there is good for us in the future that at some point in time these governments are going to push these standards and stay stable on them. But until then, we will remain in the markets and obviously we’ll keep you guys to abreast as to what the changes are in those markets.
Gregg Hillman – First Wilshire Securities: Okay. And then maybe just in a nutshell, exactly what is your presence in China right now?
Patrick Williams: Well, we have offices in China and we have a nice business in China right now. Obviously, we don’t breakdown revenue by countries.
Gregg Hillman – First Wilshire Securities: Do you work with any of the state oil companies in China?
Patrick Williams: We do.
Gregg Hillman – First Wilshire Securities: Okay. Thanks.
Operator: That will conclude the question-and-answer session. I would now like to turn the call back over to Mr. Patrick Williams for any closing or additional remarks.
Patrick Williams: Thank you all for joining us today and thanks to all our shareholders and Innospec employees for your interest and support. If you have any further questions about Innospec or matters discussed on this call, please give us a call. In the meantime, we look forward to meeting up with you again in the next quarter. Have a great day.
Operator: That will conclude today’s conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.